Operator: Good morning, ladies and gentlemen. My name is Donna and I am your conference facilitator today. I would like to welcome everyone to Cleveland-Cliffs Inc. Third Quarter 2025 Earnings Conference Call. All lines have been placed on mute to prevent background noise. After the speaker's remarks, there will be a question and answer session. The company reminds you that certain comments made on today's call will include predictive statements that are intended to be made as forward-looking within the safe harbor protections of the Private Securities Litigation Reform Act of 1995. Although the company believes that its forward-looking statements are based on reasonable assumptions, such statements are subject to risks and uncertainties that could cause actual results to differ. Important factors that could cause results to differ materially are set forth in the reports on Form 10-K and 10-Q and news releases filed with the SEC, which are available on the company website. Today's conference call is also available and being broadcast at Cleveland-Cliffs Inc. At the conclusion of the call, it will be archived on the website and available for replay. The company will also discuss results excluding certain special items. Reconciliation for regulation G purposes can be found on the earnings release which was published this morning. At this time, I would like to introduce Lourenco Goncalves, Chairman, President, and Chief Executive Officer.
Lourenco Goncalves: Thank you. And good morning, everyone. Our third quarter results were a clear indication that a significant rebound in domestic steel demand has started, and the automotive sector is leading the way. It's now widely accepted and understood that tariffs are here to stay, particularly the Section 232 tariffs on steel, autos, and derivative products. These tariffs are not negotiable, and the only effective way to avoid tariffs is manufacturing in the United States. With all that, the third quarter was our best auto steel shipment quarter since the first quarter of 2024. That's a very encouraging sign for what's coming in 2026 and beyond. Over the past quarter, Cleveland-Cliffs was able to lock in two or three-year agreements with all major automotive OEMs covering higher sales volumes and favorable pricing through 2027 or 2028. These are not small renewals. These agreements represent strategic commitments to domestic steel sourcing by the most relevant auto OEMs. Many of these customers have told us directly that they want to reduce their exposure to tariffs and to foreign volatility. They want stability and resilient supply chains. With a total of nine automotive-grade galvanized steel plants, five of them designed to produce exposed parts in all specs, Cliffs is the natural partner for the car manufacturers expanding production in the United States. President Trump's trade agenda has steel and automotive as part of its core. These two sectors are not just economically relevant; they are fundamental to national security. Rebuilding this strength is essential to sustain America's industrial independence and to improve our national defense readiness. The same industrial base that builds advanced vehicles and powertrains for civilian use, supported by domestic steel production, can also provide the engineering capability, supply chain depth, and logistics expertise required to support the American military. There is no question that the resurgence of the U.S. auto sector, supported by domestic steel, is a matter of great urgency. While other steel companies are still building or promising to build new capacity to be ready in 2028, 2029, or later, Cliffs is ready for 2026. Our state-of-the-art automotive-grade galvanized steel plants in Spartan and Dearborn in Michigan, Middletown, Cleveland, and Columbus in Ohio, and Rockport, Indiana Harbor, Burns Harbor, and New Carlisle in Indiana are all up and running. Cliffs has plenty of capacity right now. And the multi-year contracts we have signed with our automotive clients should give us the demand we need to make all these plants work at full capacity and at full employment levels. This quarter also reminded the automotive OEMs why steel, and Cliffs steel in particular, is irreplaceable. When lightweighting became a major trend several years ago, some automakers jumped on the aluminum bandwagon, chasing immaterial and expensive lightweighting gains while ignoring very meaningful technological advances in the production of high-strength steels and, more importantly, the enormous supply chain risks they were assuming. A huge fire at the nation's largest automotive aluminum-producing mill this past quarter revealed the fragility of that shift. Vehicle models that were years ago moved away from steel and toward aluminum are suffering the most. The silver lining is that switching back to steel is now under serious consideration by the most affected OEMs. Recent trials of conforming parts with our steel using equipment originally designed for aluminum are showing very promising results. This is a huge win for American-made steel and a validation of everything we have been saying for years. Domestic steelmaking, and particularly Cliffs steel, is the backbone of the American automotive supply chain. We fully expect that aluminum's participation in the automotive space will continue to shrink, with Cliffs being the biggest beneficiary of the trend. The resurgence of U.S. manufacturing, enabled and supported by the Trump administration, has made Cliffs very attractive to a number of major global steel producers. These steelmakers supply steel within their respective countries to important clients, and these clients are now moving production to the United States. Exporting steel into the U.S. is no longer a viable option for these foreign steel companies. Like their steel-consuming customers, these folks need a physical presence in the United States. Cliffs is a fully integrated steel company, starting from mining iron ore and going all the way downstream to the production of high-end finished products, and that is all based in the United States. These foreign interests in Cliffs are fully aligned with President Trump's agenda of strengthening America's industrial base and attracting foreign investments. With all that, a few months ago, we were approached by a major global steelmaker who wants to leverage our footprint in the United States to enable a smooth onboarding for their downstream industrial clients moving production from their country of origin to the United States. During the third quarter, we entered into a memorandum of understanding with this global steelmaker, and we expect to make a formal announcement in the next few months. I will not take any questions on this subject today. Separately, we have made excellent progress selling properties that no longer fit into our production footprint. I am pleased to report that we are under contract or agreements in principle for eight of these sites, with a combined total value of $425 million. The proceeds of these sales will go directly toward debt reduction. As for our larger operational asset sales process, run by JPMorgan, this is currently being deprioritized given the comprehensiveness of our MOU with the global steelmaker. We are not quite pencils down on this process, but advancing our negotiations under our MOU is now our top priority. While our U.S. business is on a clear path to recovery, we complete on November 1, our first year of ownership of the Canadian steel company Stelco. The picture in Canada remains disappointing. Roughly 9% of our total sales come from Stelco in Canada, and that market continues to lag our expectations. There's only one cause to the problem: the Canadian government has been completely unwilling to act against dumping steel into Canada. Import steel penetration into the Canadian market stands at a ridiculous and absurd 65%. The Canadian government could easily resolve the problem by replicating what the United States has done under Section 232: impose meaningful tariffs, close loopholes, and enforce implementation of these anti-dumping countermeasures. With other regions of the globe moving in the right direction, even the European Union has recently tightened its quota and tariff regime. Canada stands alone in doing nothing. A bailout loan, as the one given by the Canadian government and the province of Ontario to Algoma, one of our Canadian competitors, is not a fix for the problem. Trying to weaken Section 232 in the United States just to bring back Canadian steel into the American market is even worse. Stelco, under our ownership, does not want to and should not depend on selling steel into the United States for its survival. Stelco could thrive exclusively by selling steel in Canada. While I confess my inability to convince the several Canadian government officials I regularly speak with, I continue to expect Prime Minister Kearney to make a move in the right direction. Let's see how long it takes or if I will need to be more persuasive. Meanwhile, the U.S. government continues to grow as our partner. During the quarter, we were awarded a five-year $400 million fixed-price contract by the Defense Logistics Agency of the U.S. Department of War. This contract covers up to 53,000 net tons of grain-oriented electrical steel, which the U.S. government intends to store for national security purposes. The award underscores Cliffs' position as the only U.S. producer capable of supplying this critical material, grain-oriented electrical steel, further reinforcing the strategic importance of our electrical steels to the nation's defense and energy infrastructure. Also, we recently learned that our two projects receiving grants from the Department of Energy at Middletown, Ohio, and Butler, Pennsylvania, were not included on the constellation list that ended more than 200 other projects. As such, we will proceed with the Butler project on schedule, and we will also continue to work with the DOE on the new scoping of the Middletown project, which is critically important as that blast furnace will be realigned in the next four to five years. Last but not least, the growing strategic value of rare earth elements has prompted us to revisit this potential within our mining portfolio. We view this effort as both an opportunity and as our responsibility. Comprehensive reviews of our ore bodies and tailings basins have identified two sites, one in Minnesota and one in Michigan, where geological surveys show evidence of rare earth mineralization. We continue to assess our potential on both sites. Advancing this initiative will position Cleveland-Cliffs squarely within the nation's pursuit of critical material self-sufficiency. We believe America's industrial foundation must never depend on China or any other foreign source for essential minerals. Cleveland-Cliffs is committed to contributing to our independence from foreign powers on critical materials. With that, I will turn to our CFO, Celso Goncalves, for his remarks.
Celso Goncalves: Thank you and good morning, everyone. Our third quarter results were driven by steady operational execution and much better than expected pricing, supported by automotive strength. Our adjusted EBITDA in the quarter improved to $143 million, a 52% increase over the prior quarter, driven by margin expansion from higher realized prices and improved mix. Our steel shipment volumes were 4 million tons in the quarter, a reduction from the prior quarter as a function of summer slowdowns and our continued discipline in the broader market. Fortunately, as a result, our mix shifted favorably toward automotive, which drove our average selling price to $1,032 per net ton, up $17 per net ton over the prior quarter. This improvement in price is entirely driven by automotive shipments moving from 26% to 30% share, and coated volumes moving from 27% to 29% share. On the cost side, we continue to deliver great results as our unit cost adjusted to the much richer automotive mix. Our continued cost performance was almost entirely driven by the footprint optimization activities we announced earlier this year and have fully implemented at this point. The third quarter was the first full quarter we operated with these operational efficiencies in place, and our projected annual savings of $300 million from these maneuvers remain on track. We also continue to take further action to reduce both SG&A run rate and capital expenditure budgets. Our CapEx budget for 2025 is now $525 million, down from our original expectation to begin the year of $700 million. This is reflective of dramatically reduced spend at Stelco, as well as the now changing DOE project at Middletown. In addition, full-year SG&A expectation is now down to $550 million from our original expectation to begin the year of $625 million. These savings are reflective of overhead and incentive pay cost cuts in response to weaker demand conditions. Another upcoming item to highlight is the December 9 expiration of our onerous slab contract. For the past five years, we've been bound by a contract that valued imported slabs using the now irrelevant Brazilian Slab Index. That index no longer reflects the real cost or value of American steel, much less the value of our automotive-grade slabs produced at Indiana Harbor. With the contract expiring, we will reclaim that production internally using our melted and poured slabs to serve growing automotive demand. This past quarter, we also took advantage of the strong high-yield market and refinanced the entirety of our remaining bonds maturing in 2027, leaving us with a runway of more than three years with no upcoming bond maturities. Our next bond maturity is not until March 2029, and those notes can be redeemed at par starting in March. Together with the outstanding balance on the ABL, we have plenty of pre-payable debt to pay down with the incoming proceeds of property asset sales and future free cash flow. Our gross debt amount remains elevated, but we will have ample opportunity to pay it down over the coming quarters. That said, the composition of our debt and maturity runway leaves us with plenty of flexibility going forward. The primary end markets that we serve—transportation, manufacturing, and construction—have been experiencing recession-like conditions over the past twelve months. We have navigated this with our operational improvements, footprint optimizations, and reductions in overhead and capital costs. The construction and general manufacturing sectors still remain relatively weak, but if history is any guide, those sectors will follow the trajectory of the automotive sector, which is now tracing upward. We have finally started to see a bit of restocking activity in the distributor and end-user markets, an indication that the new tariff reality for those buyers is setting in. The signs of a real recovery are forming, and we need consistent demand and stable policy to keep it going. Once these policy changes give us the demand boost that we need, the foundation that we have laid with these operational improvements will propel us further to amplified EBITDA and cash flow. With that, I will now turn it back to Lourenco for his closing remarks.
Lourenco Goncalves: Thanks, Celso. Q3 showed the first clear signs that the tide is beginning to turn. Automotive is rebounding, our cost actions are working, and trade policy is delivering measurable results. But we are not declaring victory yet. We can and will do better. Our onerous slab contract will soon go away, our automotive volumes will continue to increase, and we will finish what we have started. That includes the execution of the final agreement and the beginning of the work which will follow our transformational memorandum of understanding with our major global steelmaker partner. With that, I'll turn it back to Donna for questions.
Operator: Thank you. The floor is now open for questions.
Operator: Our first question today is coming from Nick Giles of B. Riley Securities. Please go ahead.
Nick Giles: Thank you very much, operator. Lourenco, Celso, good morning. And nice to see all of these updates. Cliffs has been a national champion in the U.S. metals and mining industry for over a century. So it's really good to see you taking the initiative on the rare earth side. My question is really how quickly could you produce products in this vertical? And could you look to be a vertically integrated producer? Or would you look for a partner? Thank you very much.
Lourenco Goncalves: Thanks, Nick, for the question. Look, we have the opportunity to develop the mining assuming that all these original studies will play out as we expect, and we'll go from there. It's very clear that the U.S. government is very quickly realizing the importance of having an industry for this type of minerals inside the borders of the United States. And that's also, in my opinion, an opportunity for cooperation with Canada. Another unexplored opportunity that we can develop with our northern neighbor. So there are several ways to go with this thing. And the important thing is that the geographical location would be good for both. We can do it inside the United States, we can do it in Canada. Because we're very close across the point, across the Great Lakes. So it's very easy to work within the United States. So with Canada, but these are the two options I see going forward.
Nick Giles: LG, thanks for that detail. Maybe just as a follow-up. I mean, what resources have you brought in to date to explore the opportunity and when is kind of the first mile marker in terms of potential product mix or any economics? Should we be thinking about something early next year? I appreciate any color.
Lourenco Goncalves: Look, we've identified two sites that have the most promising. We are working with the geologists to assess whether these deposits could become commercially viable. That's where we're at. And we don't forget, as you said, we are a mining company. So this is not new territory for us. We understand mining into these lands more than anyone because they have been doing it for a long, long time. And we will see how we'll go from there. But that's a potential that we will not let go without putting a lot of effort and a lot of ingenuity into getting this done inside the United States or in partnership with Canada that has experience in mining. This is not so rare elements that are called rare earths.
Nick Giles: LG, thanks again. Really appreciate the update this morning and continued best of luck.
Lourenco Goncalves: Thanks, Nick.
Operator: Thank you. Our next question is coming from Mike Harris of Goldman Sachs. Please go ahead. Mr. Harris, please make sure your phone is not on mute.
Operator: We'll move on to the next question. The next question is coming from Lawson Winder of Bank of America. Please go ahead.
Lawson Winder: Thank you very much, operator. Good morning, Lourenco and Celso. Thank you for today's update. Could I ask just about your decision to deprioritize the asset sale process? How has that process gone to date? And then has there been any interest? And if so, in what assets?
Lourenco Goncalves: Look, like I said, the process we did not stop by any stretch. Actually, we closed on a portion of the sale of FPT during the weekend. So we have a signed contract. I misspoke. It's not a close yet, but it will be a short closing. And the portion that we sold on FPT is not even a site that we explore for our own EBITDA. So, it doesn't change at all the EBITDA that you generate from FPT. So we're very pleased that we had more than one party interested in that specific portion of the FPT, including the Florida assets. And we are very excited with the opportunity to continue to sell the remaining portions of FPT as we go. The other asset, Lawson, that we're considering selling would be our direct reduction plant in Toledo, Ohio. Because as you might conclude on your own, but I will reiterate here, we have no interest in building flat-rolled mini-mill ourselves. I was keeping that HBI plant to supply Big River in case we had the opportunity to acquire U.S. Steel, which did not play out. So as we did not acquire Big River through the acquisition of U.S. Steel, I don't see any specific strategic value of keeping the direct reduction plant producing HBI with the strict goal of supplying flat-rolled mini-mill producing more of a high-end type of flat-rolled products. That's not my problem anymore. So we still have a lot of interest in that specific plant, but this subsequent work that we're doing with our partner is showing that we might be doing other things with that plant, which I will not elaborate on at this point. So I'm kind of still considering alternatives, but I'm deprioritizing that because the MOU trumps, no pun intended, trumps the opportunity of selling itself as a standalone unit, the Toledo plant.
Lawson Winder: Okay. Understood. That's very clear. If I could just follow-up on your comment on FPT. So should we be looking for some sort of announcement on that sale of a portion or partnership?
Lourenco Goncalves: I just made it. We are under agreement to sell the Florida assets to SA Recycling. So that's the deal. So it's out. I just said it to you.
Lawson Winder: Can you provide any detail on economics at this point? Or is it too early?
Lourenco Goncalves: Nope. But it's good. And if you apply a multiple to a site that generates zero EBITDA, you can pick one. So it doesn't change the economics of the rest. That's the importance of this sale. That's why I'm disclosing. There was an asset that for me was always completely irrelevant because I'm not going to put a mini-mill in Florida to produce rebar or anything else. So that was not a site that was interested from the get-go. It came as an addendum to what I was really interested in having the real FPT, the FPT around Detroit, around prime scrap, and that's completely preserved. And there are other companies, more than one actually, interested in acquiring the rest. And they both have the same thing in common. They don't want Florida. So we move Florida. But we're not going to review the number, but the number is extremely good. And you'll see in our liquidity going forward. But got to wait because this is just an assigned agreement, it's not closing yet. So we can't disclose the number.
Lawson Winder: Yes, understood. Thanks very much for your responses. I appreciate it.
Lourenco Goncalves: Thanks, Lawson.
Operator: Thank you. The next question is coming from Phil Gibbs of KeyBanc Capital Markets. Please go ahead.
Phil Gibbs: Hey, good morning. Good morning, Phil. Question is on the auto contracts. Do any of the new contracts kick in during this quarter? Or do any of the new contracts kick in during the fourth quarter?
Lourenco Goncalves: Yes. We have some kicking in October 1. I'm simplifying when I'm saying 2026 because it's a short quarter. Fourth quarter, particularly in automotive, is not a quarter that we are excited about because we know we're going to have shutdowns through the end of the year. That's normal course. Sometimes we have, I'm not sure about this year because they are really busy, but it's normal course for them to shut down around Thanksgiving as well. But we're going to see a lot of activity coming from these contracts as the year turns to 2026. So we're super excited with everything that's happening with General Motors, Ford, Stellantis with this big announcement of $13 billion bringing back the plants that we were by far the largest supplier. So all these things are coming to us at this point. We have Ford, we have Hyundai, we have Honda, we have Toyota in North America. These are all happening. And the good thing, Phil, is that the common factors finally realized that it's not a good thing to wait and wait and wait and seeing that the Trump administration is not changing their tune. I think Secretary Lighthizer was very clear when he said, The United States will be first in producing automobiles. Canada can be second. So that shows resolve. So I like to see that and that helps us in terms of getting our business moving in the right direction. So we are good.
Phil Gibbs: And then just a follow-up on the cost side. What does the guidance imply for further unit cost reductions in the fourth quarter? And should we expect any more momentum in 2026? Thank you.
Lourenco Goncalves: I'll let Celso handle this one, Phil. Please, Celso.
Celso Goncalves: Yes, sure. Hey, Phil. If you look at the cost performance in Q3, adjusted for the increased automotive mix, we still expect costs to be down $50 a ton year over year when adjusted for this mix. You can see in our track record achieving cost reductions dating back to 2023. We achieved an $80 a ton cost reduction in 2023. We're down another $30 a ton in 2024. And then now in 2025, our unit costs are still expected to be down $50 a ton. So we're not changing the guide there. Just as it relates to other Q4 kind of talking points and general guidance that I can give you. Shipments should be similar to Q3 around 4 million tons. You have to consider seasonality with the holidays offsetting improved demand. Auto shipments are expected to be similar. And then in terms of pricing, you probably have all the pieces that you need to calculate as the ASP for Q4. So relative to Q3, Q4 cost should be relatively similar to Q3.
Phil Gibbs: Thank you. Thanks, Phil.
Operator: Thank you. Our next question is coming from Carlos De Alba of Morgan Stanley. Please go ahead.
Carlos De Alba: Yes. Good morning, Lourenco and Celso. Thanks for the update. Just on following up on the auto contracts. Can you maybe give us some comment on the volume growth implicit in these new agreements? And potentially an indication of how much pricing may be moving up or down or staying flat? Definitely a very important piece of the business going forward.
Lourenco Goncalves: Look, directionally these contracts will generate a lot more margin for us, including margin per ton. And that's all I can share at this point with you. These are good contracts. But we realized the one thing, Carlos, that probably has been missed throughout this entire conversation. And I'm trying to, in my prepared remarks, and now using your questions, so thanks for the question. I will try to explain a little bit about what Cleveland-Cliffs really is in terms of the automotive industry. We hear a lot about market share in automotive, gaining market share, losing market share. Let's understand one thing. Cleveland-Cliffs has so much more capacity to produce the steels that the automotive industry needs in comparison with any other supplier or any other wannabe supplier of automotive steel that it is not even a topic of conversation talking about market share, about these types of things. We have five plants, full plants, that are ready to supply a lot more exposed parts than we are supplying right now, not because we lost market share, but because the common factors who are producing cars in places like Mexico, Canada, South Korea, and I'm talking about American car companies, even in Japan, American car companies. So that's the absurd of the entire thing. And that's what's being corrected. So as they are being compelled, in the lack of a better term, to produce cars in North America, in certain cases like Stellantis, they are coming to their senses and coming back to the reality that North America is their main market and Cliffs is their main supplier. We are seeing the business coming back and coming back extremely stronger. Just to give one set of numbers for you to think. Columbus Coatings, it's one galvanizing line ready for extra-wide exposed parts. That produces today something between 280,000 tons a year. The line itself is able, as is, to produce 450,000 tons just by putting more throughput through the line. And that is coming. And the site itself is perfect to double in terms of the capacity in that specific site because we have room to put another line side by side with the existing one to double from 450,000 to 900,000. That's on a single site. And we don't need to invest to put the new line because we have idle capacity in Dearborn. The downstream Dearborn is the most modern galvanized steel plant in the world. It was built in 2013 by Severstal and acquired by AK Steel, and then we acquired AK Steel. So Dearborn is ready for more. Middletown, same thing. Rockport, Rockport needs to be visited. It's all robotic, it's all automated. Has been like that for at least another one or one and a half decades. So it's there. In New Carlisle, that used to be called high-end tech, end quote, by Inland and Nippon Steel long ago, is pretty modern and pretty well equipped to produce not only hot deep galvanized and galvannealed, but also electro-galvanized as well as Middletown. So we have, that's just exposed. If you go to non-exposed, high-end non-exposed, you have Cleveland. It's the Cleveland works is the most technologically advanced mill to produce high-strength low alloys for the structure of cars here in the United States, and we have been doing that, but we have capacity for more. So that's prevalent everywhere. Indiana Harbor, Burns Harbor, our joint venture with the Worthington Steel, Spartan, same thing. So that's nine plants ready to grow as is or adding capacity as needed in the next three, four, five, six years. So this movement that was initiated by President Trump that will percolate for the next five, maybe ten years will be all supported by Cleveland-Cliffs. And I'm explaining to you the capacity. So I'm not going to go into these little details on how much more the contract or this and that. These things are coming now as a wave of new business that we are ready to take right now. Sorry for the long answer. It was a good question. Decided to use it to detail things that probably are not well understood, but I hope after I made that explanation, at least generate more questions that will keep us helping clarify this subject.
Carlos De Alba: Great. Thanks for the additional information. And then talking about the other opportunity that just came off Cliffs on the rare earth space. Are there any details or early details that you have in terms of the type of mineralization, regular mineralization that you may have and what type of minerals potentially you could be producing? And also, is there a timetable for a feasibility study or preliminary economic analysis assessment, sorry?
Lourenco Goncalves: Look, I think that I want to talk about the heaviest dysprosium or terbium or cerium or lanthanum or neodymium or praseodymium in this call. But I'm a chemistry person. So I would love to, but I don't think that would be a good thing for us today, Carlos. Let's take this offline. And let's discuss. The important thing is that they are there. We found them there. And we want to make it viable. We really believe that we have potential there. And that it will be good for Michigan, for the Upper Peninsula, primarily. And there's even one site in Minnesota that we would go. It's not very friendly to us, but we will still investigate there. But we'll definitely start in Michigan, the Upper Peninsula, because we love the Upper Peninsula.
Carlos De Alba: All right. Thank you, Lourenco. Looking forward to that conversation on more details when Yes, sir.
Lourenco Goncalves: Thank you.
Operator: Thank you. Our next question is coming from Mike Harris of Goldman Sachs. Please go ahead.
Mike Harris: Okay. Let's try this again. Hopefully, you can hear me this time.
Lourenco Goncalves: Very well, Mike.
Mike Harris: Hey, how are you guys doing? Hey, just wanted to follow-up on the electrical steel award that you highlighted. And just to kind of help us, how should we think about that? Is that more of a kind of a one-time opportunity or is this like the first of a series?
Lourenco Goncalves: It's a one-time opportunity, Mike, but it's a multi-year one-time opportunity. The U.S. government, the Department of War made the decision to put in storage a safety reserve strategic inventory of this type of materials that we produce. So we are going to build that inventory together with the Department of War. And we are very proud of this partnership. It's extremely good in terms of economic terms and in the long-term viability. Of course, we're going to prioritize that because it's national security. And it will take years to finish. And this probably is the first move into a direction that it's clear that the Trump administration is taking in terms of protecting the country with strategic inventories of things that could be under attack in a moment that's not very peaceful in the world. So it's all good and we are proud of our partnership with the U.S. government and particularly with this specific deal.
Mike Harris: Okay. Okay. That helps. And then just a follow-up to and I think, Celso, just a few minutes ago, someone asked a question around the cost reduction effort and you kind of pointed out the track record. I guess I was just curious, what we witnessed in here, is that just you guys now have an opportunity to take out maybe stranded costs from the acquisitions? Or are we seeing the benefits from, I don't know, some process improvement or technological advances? Just kind of help me understand what we're witnessing with the cost reduction effort here?
Celso Goncalves: Yes, sure, Mike. Thanks for the question. Yes, I think over time, we've been proactive in terms of optimizing the footprint. We became a steel company in 2020. If you remember. We acquired AK Steel. We closed that deal on March 13, 2020, in the middle of the pandemic. And then we doubled down and we acquired the ArcelorMittal USA assets in the same year, closed on December 9 of that year. And for the subsequent years thereafter, we became a major steel company sort of overnight and it took time to optimize the footprint. It came with a lot of assets. Many of them were very good. Some of them weren't so great. So over the last few years, we've been prioritizing, optimizing the operations across all of our assets. And that's what's really driven the accomplishment on the cost side. And this year was really the completion of those efforts.
Mike Harris: Okay. That helps out. Thanks a lot, guys, and good luck and continued success.
Lourenco Goncalves: Thank you, Mike. Appreciate it.
Operator: Thank you. That brings us to the end of today's question and answer session. I'd like to thank everyone for their participation today. You may disconnect your lines and log off at this time. Enjoy the rest of your day.